Operator: Good day, ladies and gentlemen, and welcome to the Q2 2012 Huntsman Corporation Earnings Conference Call. My name is Shenae, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I will now turn the presentation over to your host for today, Mr. Kurt Ogden, Vice President of Investor Relations. Please proceed, sir.
Kurt D. Ogden: Thank you, Shenae, and good morning, everyone. Welcome to our second quarter 2012 earnings call. Joining us on the call today are Jon Huntsman, Executive Chairman and Founder; Peter Huntsman, President and CEO; and Kimo Esplin, Executive Vice President and CFO. This morning, before the market opened, we released our earnings for the second quarter 2012 via press release and posted it on our website, huntsman.com. We also posted a set of slides on our website, which we intend to use on the call this morning in the discussion of our results. During this call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements, and while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the Securities and Exchange Commission for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. In addition, we will also refer to non-GAAP financial measures, such as EBITDA, adjusted EBITDA and adjusted net income or loss. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release, which has been posted on our website at huntsman.com. Let's turn to Slide 2. In our earnings release this morning, we reported second quarter 2012 revenue of $2,914,000,000, adjusted EBITDA of $365 million and adjusted earnings per share of $0.58 per diluted share. Our adjusted EBITDA was $365 million in the second quarter 2012 compared to $321 million in the prior year, an increase of 14%. I will now turn the call over to Peter Huntsman, our President and CEO.
Peter R. Huntsman: Thank you, Kurt. Good morning, everyone. Thank you for joining us. Let's turn to Slide #3. Adjusted EBITDA for our Polyurethanes division in the second quarter 2012 was $170 million, an improvement of $27 million compared to the prior year of $143 million of adjusted EBITDA. The increase in earnings was entirely attributed to improvements in our MDI urethanes volumes and margins. Sales volumes for our MDI products increased 12% compared to the prior year. We are encouraged by the strong growth in demand from our largest end markets: insulation, adhesives, coatings, elastomers and composite wood products, all of which grew at double-digit rates compared to the prior year. Despite economic concerns that dominate current headlines, sales volumes in Europe improved 15% compared to the prior year and 9% compared to the prior quarter. Most of this growth came in Northern Europe, where sales volumes for our MDI products improved 14%, whereas Southern Europe grew only 1% compared to the prior year. During the quarter, we successfully raised our MDI selling prices, which, combined with stable benzene costs, had the effect of increasing our contribution margins. Recently, benzene costs have spiked in the U.S., primarily as a result of regional supply dislocation. We believe this will rebalance in the near term and pricing will moderate, but it will be a slight headwind in the third quarter. Overall, the margin expansion we enjoyed in the second quarter will be sustained in the second half of 2012 as utilization rates continue to tighten. Propylene oxide and our coproduct MTBE continue to perform very well, primarily as a result of an attractive spread between premium gasoline and lower-priced raw materials. Earnings for this product were in line with the previous year and decreased approximately $40 million compared to the first quarter when industry supply outages led to exceptional margins. In July, we suffered an unplanned outage at our PO/MTBE facility due to a lightning strike. This facility is back up and running now, but the repairs and lost production will have an approximate EBITDA impact of $10 million in the third quarter. Let's turn to Slide #4. In the second quarter, our Performance Products division earned $85 million of adjusted EBITDA. During the second quarter, we experienced an unplanned outage at our ethylene oxide unit, which reduced our EBITDA by approximately $5 million. We have elected to delay our previously announced third quarter planned maintenance on this unit until the first quarter of next year to coincide with our planned polyolefins cracker maintenance. Although the second quarter contribution margins for some of our amines was low, we expect an improvement in the third quarter as the lower cost of ethylene and propylene work their way through the value chain of these products. Further, the lower cost of benzene should benefit our maleic anhydride business. We are encouraged by early demand trends within the business as order patterns have been strong thus far. As a result of the planned maintenance postponement, we expect third quarter earnings to be slightly higher than the second. Turning to Slide #5. Adjusted EBITDA in the second quarter in our Advanced Materials division was $24 million. In light of macro -- of troubling macroeconomic headlines during the quarter, we saw reasonable demand for most of our products. Compared to the prior year, sales volumes increased in all regions with the exception of Asia Pacific, where Chinese demand for electronics, wind and power continued to be soft. We expect business conditions for these Chinese markets to remain difficult at least through the end of this year. Challenging market conditions and competitive pressures have led to reducing pricing leverage and made it difficult to maintain margins and more than offset the benefits of our recent restructuring efforts. Let's turn to Slide #6. Our Textile Effects division reported an adjusted EBITDA loss of $4 million for the second quarter. Sales volumes improved 5% in the second quarter compared to the prior year, primarily as a result of market share gains. As we track consumer confidence levels and retail data in major markets such as the U.S., Europe and China, we remain cautious with regards to our near-term demand. We are proceeding slightly ahead of plan on our $75 million restructuring program. Although we've seen some benefits from early restructuring efforts, we don't expect to see meaningful benefits until the latter part of this year because we're operating 2 redundant manufacturing platforms as we transition out of Switzerland. Within the textile industry, the third quarter is historically the softest from a demand perspective, largely driven by European mill operations. As a result, we expect our earnings in the third quarter to be sequentially lower from the second. Let's turn to Slide #7. Our Pigments division earned $133 million of adjusted EBITDA in the second quarter. Global demand for TiO2 was soft within the second quarter, compounded by an absence of a historical seasonal increase. Anecdotally speaking, we do not hear evidence from our customers of reformulation away from TiO2 products. However, we have heard of a greater acceptance and use of lower-quality Chinese-produced materials. Estimated industry inventory days on hand increased during the second quarter and are at very high levels. Our inventory days on hand are well below the industry, less than 3/4. Average selling prices increased 1% compared to the first quarter, driven by increases in North America. Pricing momentum has clearly slowed down. Consistent with the guidance that we provided earlier in the year, we expect our 2012 earnings to be less than 2011 in our Pigments division. In the third quarter, we expect the effect of pricing increases in titanium-bearing ores to be more evident in earnings as supply contracts have renewed and lower costs from older inventories have been consumed. We expect selling prices to come under pressure as unusually high TiO2 industry inventory levels are fed into the market. We believe the combination of higher-priced ores and lower average selling prices may produce a headwind of up to approximately $350 per ton in contribution margins in the third quarter compared to the second. We also expect softer sequential demand in Europe. Before sharing some concluding thoughts, I'd like to turn a few minutes over to Kimo Esplin, our Chief Financial Officer.
J. Kimo Esplin: Thanks, Peter. Let's go to Slide 8. In the second quarter of 2012, our adjusted EBITDA increased $365 million from $321 million in the prior year. The primary reason for this year-over-year increase was an improvement in margins, average selling prices increased and raw material costs decreased. Sales volumes increased as we saw improved demand for some of our products, most notably within our Polyurethanes division. These improvements were partially offset by an increase in SG&A and other indirect costs. Compared to the first quarter of 2011, our second quarter adjusted EBITDA decreased from $397 million to $365 million. The decrease was primarily attributable to our PO/MTBE business, which decreased $40 million from the first quarter when we enjoyed exceptional margins as a result of industry supply outages. Slide 9. Our year-over-year consolidated sales revenue for the second quarter decreased 1%, primarily as a result of the strengthening of the U.S. dollar against major international currencies, which had a negative 4% impact on revenues. Our Pigments business was affected the most of any division by the negative impact of foreign currency movements. Revenues for this division decreased 4%, but foreign currency had a negative 7% impact, where nearly 1/2 of its revenues are in Europe. The net EBITDA impact from foreign currency movements in our Pigments business was approximately $8 million in the second quarter compared to the prior year. Our Polyurethanes business, which accounted for approximately 42% of our second quarter revenues, recorded a revenue increase of 12%, while Performance Products, our second largest revenue contributor, recorded a revenue decrease of 14%, primarily due to a greater shift to tolling arrangements for our sales volume, which is excluded from our change in revenue calculations and the impact of the unplanned outage of our ethylene oxide unit. Our total company average selling price improved 1%, adjusted for the impact of foreign currency, while our sales volumes were flat when compared to the prior year. The majority of our sales in the quarter came from North America and Europe, which decreased by 2% and 8%, respectively. Sales revenue increased in the Asia Pacific region by 3%, in large part due to an increase in sales volume in all but one of our segments, whereas our Rest of World category, which includes emerging markets such as Central and South America and the Middle East, saw the most growth compared to the prior year of 10%. Compared to the prior quarter, consolidated sales revenue was flat. An increase in average selling price and sales mix was entirely offset by a decrease in sales volume and the impact of foreign currency. Notably, urethanes saw a 12% sequential increase in revenue as a result of higher average selling prices and higher sales volume. Slide 10. At the end of the quarter, we had approximately $1.1 billion of cash and unused borrowing capacity. Reducing our debt remains a priority of our management team and our board. During the quarter, we reduced our net debt by $60 million. Our current net debt to last 12 months adjusted EBITDA is 2.4x. Our target is to have a sustained -- a sustainable net debt leverage of 2 to 2.5x, and we will continue to pay down our debt to achieve that. We spent $82 million on capital expenditures in the second quarter of 2012. In 2012, we expect to spend approximately $425 million on capital expenditures, which approximates our annual depreciation and amortization. We are investing in growth opportunities within our business. In July, we acquired the remaining ownership in our Russian Polyurethanes joint venture, which supplies polyurethane systems to the adhesives, coatings and footwear markets in Russia, Ukraine and Belarus. Later in July, we opened a polyurethane systems house in Indonesia, focused on providing polyurethane systems for the fast-growing MDI insulation, automotive and footwear markets. Peter?
Peter R. Huntsman: Thank you, Kimo. I'm very pleased with the second quarter results and the first 6 months of our financial performance. While we can't control issues impacting global economic markets, we can effectively manage and operate our company in a way to take advantage of prevailing market conditions. Since our last earnings call, our Chairman, Jon Huntsman, our newest board member, Jon Huntsman, Jr., and most of our senior management have spent the better part of the summer in Europe, India, China, more than a dozen other Asian countries, visiting thousands of customers, suppliers, partners and associates. Together with the rest of our Huntsman associates, we continue to build a robust and expanding customer base that I believe, over time, will continue to grow better than global GDP rates. In fact, in the second quarter, with the exception of TiO2, we saw growing volumes compared to the previous quarter and previous year. Most of our products and applications are seeing increasing demand, and our end markets are expanding. Starting in the third quarter and continuing throughout 2013, we will see the benefits of over $150 million of cost initiatives that will improve our operations and financial results. We are paying down debt from operating cash flows and continue to strengthen our balance sheet. Initiatives throughout this year and next should improve our working capital. We are well-positioned to benefit from anticipated growth in the North American economy as we are a significant supplier of materials and products in the improving housing, automotive and energy industries. We have a stronger customer base in Asia than we've ever had and continue to see opportunities for growth in this region. While European market conditions are a challenge, with the exception of Pigments, we saw company-wide sequential and yearly improvements, led by our Polyurethanes division. In the third quarter, we expect to see margin pressures on TiO2, as I stated earlier. But I continue to see our other divisions improving their cost positions and growing their volumes. I expect that our other divisions' earnings will improve, over time, as we become less dependent on our TiO2 earnings as a percentage of our overall business. This improvement is being led by our Polyurethanes division and a recovering specialty amines business. I continue to believe that TiO2 will see short-term destocking, but longer term, this will continue to operate at higher-than-historical margins and will continue to be a strong contributor to our business. In short, barring a major economic event, we are poised to have another very strong year. With that, I'll turn the call over to Kurt.
Kurt D. Ogden: Thanks, Peter. Shenae, that concludes our prepared remarks. Would you explain the procedure for questions and answers and then open the line for questions?
Operator: [Operator Instructions] Your first question comes from the line of P.J. Juvekar with Citi.
P.J. Juvekar - Citigroup Inc, Research Division: Can you talk about TiO2? You talked about high TiO2 inventories, but can you talk about destocking that happened in China? And what are inventories like in China?
Peter R. Huntsman: Well, I don't think that we've had the granularity, particularly for the entire market, to see inventory levels in China per se. We started to see a destocking and a lowering of demand in China in the fourth quarter of last year, and that's continued up through the third quarter. I think that China, in particular, Asia, in general, is unique in that you have a number of distributors and you have a number of brokers that you typically don't have in the European and North American markets, that stand between the producers and the ultimate consumers. And so you have a much larger built-in inventory in that supply chain, in the Asian region. But as I look throughout the entire industry, that's why I say in my comments, is I see continued destocking taking place in the third quarter. I think that, again, across the board, and this is not going to be in all regions to all customers, but I think that this entire destocking that has taken place over the last 2 to 3 quarters globally, particularly in Asia, I think that that's going to start coming to an end here in the third quarter. And you will see in the fourth quarter -- I think that the inventory levels in the supply chain, particularly on the customer and on the distributor side, will certainly be lower than it was a year ago.
J. Kimo Esplin: P.J., I'd just add to that. I think, sort of an industry, the Asia Pacific region is probably down year-over-year 25%, 30% in the first quarter and second quarter compared to the prior year, so down significantly. We were probably down even further than that simply because the local Chinese producers were very aggressive on price, and we probably gave up market share.
P.J. Juvekar - Citigroup Inc, Research Division: Okay. So it's fair to say that China destocking began earlier than North American destocking?
Peter R. Huntsman: Yes, I would certainly say that that's the case. Not only did it start earlier, but I think it started more aggressively because of the intense competition we saw from Chinese producers.
P.J. Juvekar - Citigroup Inc, Research Division: Yes, just secondly, your volumes in Polyurethanes picked up nicely, even in Europe. Are you gaining share? And what is differentiated about your Polyurethanes that allows you to gain share?
Peter R. Huntsman: Well, the polyurethane customer base is quite different. We are going to have competitors that are going to be stronger than Huntsman in certain end-use applications. And frankly, Huntsman is going to take more of its resources and our efforts, and we're going to focus more in MDI applications and markets, in areas like insulation, automotive, some of our coatings and adhesive applications and so forth. Others of our competitors are probably going to focus more in synthetic leather and so forth than Huntsman has. But as we look at our customer base, we continue to believe that longer-term, as you look at such things as insulation, as you look at the higher-end automotive applications and so forth, as you look at the building materials and adhesives, I think that longer-term, these are going to be very strong and continue to grow, even in areas like Europe, perhaps better than our competition.
J. Kimo Esplin: And P.J., just to reiterate, when you think about sort of 15% growth rates in Europe, again, that's led largely by insulation. Our observation has been that it's decoupled a bit from GDP, really, conservation and retrofit of existing buildings, with spray-on foam and panel polyurethane insulation...
Peter R. Huntsman: And government mandates.
J. Kimo Esplin: And government mandates. It's really sort of -- there's not a lot of correlation with GDP.
Operator: Your next question comes from the line of Laurence Alexander with Jefferies.
Robert Walker - Jefferies & Company, Inc., Research Division: This is Rob Walker on for Laurence. I guess just briefly on TiO2. So I saw in the trade press that inventories in the industry are above 100 days. I guess, wondering if you agree with that figure. And how long would it take to go from 100 days to like a more normalized level, around 60 days?
Peter R. Huntsman: Well, I really can't comment on what the competition is doing, but I would just note, and I think we've been pretty clear in the last couple of calls, that we believe that industry-wide, that there are quite a few ore contracts that are coming to expiration. And certainly, I don't think that it would be out of the ordinary for those people that are seeing large increases in ore pricing to buy what they can at the lower prices, produce as much of the low-cost TiO2 as they can under those contracts and to sit on that inventory and perhaps reduce their offtake at the higher price ore prices. So you might see a drop in that inventory a little bit quicker than you normally would see, as people reduce their ore consumption and reduce consumption of the higher-priced ores. So I would say that I'm a bit concerned of these higher-priced inventories, but I don't think that, that should be too surprising, given the situation in raw materials. And I think that as you see a destocking, a slowdown in this destocking taking place, that you could see that inventory build. I wouldn't say fall off a cliff, but I think you could see it start to decrease quicker than anticipated.
J. Kimo Esplin: Rob, yes, so just to confirm. I think some of the industry data is about 100 days, and I think as Peter mentioned in his comments, we're less than that. We're closer to 70 days.
Robert Walker - Jefferies & Company, Inc., Research Division: Great. That's very helpful. And then just finally, on polyurethanes, just wondering if you could help us parse the moving pieces to the sequential bridge. I guess MTBE margins look to be lower, benzene looks to be higher. And then the outage, it seems like if you add all those together, it could be $40 million or $50 million sequentially. Is that too draconian?
Peter R. Huntsman: When you say sequentially, from the first to the second quarter?
Robert Walker - Jefferies & Company, Inc., Research Division: I guess from the -- looking to the third quarter from the second quarter.
Peter R. Huntsman: Well, I wouldn't see a -- when we talk about a $40 million MTBE, that was really between the first and the second quarter. We won't see that between the second and the third quarter. We will see $10 million less than we otherwise would have had in the third quarter than the second quarter from MTBE. But where we stand today, MTBE margins are pretty healthy today.
J. Kimo Esplin: We think that we will continue to hold on to the margin gains that we achieved in the second quarter in urethanes, and we would expect that volumes would be similar to, if not better than the second quarter.
Peter R. Huntsman: I'd say on all we're probably looking at it flattish to slightly improved in the third quarter.
Operator: Your next question comes from the line of Frank Mitsch with Wells Fargo.
Maggie Cheung - Wells Fargo Securities, LLC, Research Division: This is Maggie on for Frank. I was just wondering about the pricing conditions by region for TiO2. Can you give us more color on that?
J. Kimo Esplin: Well, pricing is an interesting one. If you look at it in U.S. dollar terms, simply because the softening of the euro relative to the dollar. And so you wouldn't -- you shouldn't be surprised that euro pricing in Europe is fairly flat. And -- but as you look at the end of the quarter, after we saw the significant drop in the euro, that in dollar terms, that is the lowest priced product in the world. It's -- it could be as much as $400 to $600 a ton cheaper in dollar terms in Europe than it is in the U.S. But again, we haven't seen prices fall in Europe in local currency terms.
Maggie Cheung - Wells Fargo Securities, LLC, Research Division: Okay. And then in terms of your MDI demand, you said that was expected to improve in Q3. You had a really good Q2. How long is this trend expected to last?
J. Kimo Esplin: We have, I think, 20 years of data to suggest that MDI grows at above 7%. So we would expect to see a 7% growth, and maybe that will accelerate, given the focus on insulation. Insulation now represents roughly 40% of our sales demand in MDI Polyurethanes, and we see that growing above that 7% trend line over 20 years.
Peter R. Huntsman: I'll just note, in the U.S., we are experiencing low natural gas prices and lower utility costs for natural gas-based utilities in North America. The rest of the world, if you look at China and India and so forth, you're looking at natural gas prices that in some cases are 7 to 8, 9x higher than what we're seeing in North America. So as you look at insulation and energy conservation, it's as relevant today as it ever has been, and I think that we're bullish on the long-term demand prospects on MDI on a global basis.
Operator: Your next question comes from the line of Kevin McCarthy with Bank of America Merrill Lynch.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: This is Alex Yefremov for Kevin, actually. A question on TiO2. Given sort of industry-wide volume declines, do you see prospects for cost relief in titanium ores in the second half or maybe in 2013, sort of could that market loosen up and offset some of the price weakness in TiO2?
Peter R. Huntsman: I wouldn't be surprised to see that, particularly as you go into the early part of 2013. We've mentioned in past calls and meetings that while there might be some short-term benefit being an integrated ore and Pigments producer, typically, you rarely do see very strong ore prices if TiO2 demand is not there. And I believe that with the destocking that you're seeing on the customer side, the destocking on the Pigments side is in effect, and I think that this is going to have a longer-term pressure on ore prices, particularly on some of the higher-end ore prices. I will remind you, as you look at ore prices on a per ton basis, that you're between rutile to ilmenite, that you're seeing a spread anywhere from $1,500 to $1,700 per ton. So very, very large swing there in -- or variation in ore prices.
J. Kimo Esplin: And the other thing that I think we're seeing and would expect to see with these chloride ores is a shift in mix at a typical chloride plant away from rutile. You remember, natural rutile doubled in price second half of 2011 to first half of 2012. And if a typical chloride plant was running 80% chloride slag and 20% natural rutile, they may flex that a little bit away from rutile because it got so expensive. That's not to say that chloride slag isn't expensive. It's very expensive. But at least rutile is more expensive. So you're seeing some shifting in mix of ores. But ilmenite ores continue to be the lowest-cost route to titanium dioxide, and we believe that sulfate slags are also lower cost than chloride slags and rutiles that are consumed in chloride plants.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: Great. And Peter, you mentioned some increased sales of Chinese TiO2 in Europe. Do you have a sense of how sort of permanent that market shift is, whether European customers are now ready to consistently buy from China, or this is sort of an opportunistic market shift, rather?
Peter R. Huntsman: I think longer-term, to the degree that the Chinese producers are competitive in pricing and in quality, that European producers or consumers of TiO2 will probably continue to buy Chinese material. So I wouldn't be surprised at this trend, and this is certainly something that we've expected and is a natural course. As you see, most all of the expansion globally that's taking place in TiO2 production coming out of China.
J. Kimo Esplin: And please don't misunderstand us. When we think about utilization rates, which will really drive margins over time, we include the Chinese producers. We have never, ever set them aside and have thought of them as swing producers somehow only in the region. They are lower quality, but they are improving that quality very rapidly. And we're seeing more and more Asian-produced product in Europe and in the U.S. And while it's expensive and it's lower quality, we're seeing more of it. But we include them as true competitors in all regions and include them in our utilization rate calculations. Notwithstanding the Chinese aggressiveness, we still see long-term in normalized markets for titanium dioxide, after destocking is complete, industry utilization rates in the low 90% area, and we think that is an area in which we can have pricing leverage and maintain higher-than-normalized margins.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: Okay. And a final question, if I may. Peter, you mentioned some recovery in specialty amines. Could you maybe elaborate what is driving that, how sustainable it could be?
Peter R. Huntsman: Well, I think that last year, we saw our margins in amines were under pressure because of the large capacity that was added to the industry. As that added capacity to the industry is absorbed by the market, the industry started tightening again. We started to have some pricing leverage, and I believe that, over time, as you can look out over the next year or 2, you can see how much capacity is coming on. I believe the markets are gradually going to be tightening over the course of the next year or 2, given present demand utilization rates, and that we'll have an opportunity to continue to expand our margins in our specialty amines. I think that over the course of the next year or 2, that our margins in specialty amines is going to improve.
Operator: Your next question comes from the line of Mike Ritzenthaler with Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Within Performance Products, is there any commentary in markets for -- on the surfactant side? And what's the outlook for products exposed to things like ag, given the dry conditions? I guess the spirit of the question is around any unusual seasonality in 3Q that could move the needle.
Peter R. Huntsman: We are not seeing any material harm done to the business or falloff in demand because of the drought, at least nothing that's come to my attention.
J. Kimo Esplin: I think we mentioned, and I'll just repeat it if you'll allow us, just to -- that we had some unusual things in the second quarter relative to our demand because of our outage but also because of a shift in -- from a direct manufacturing sale customer to a toll sale. We're still selling the same amount of product, but we don't account for it the same way. So it appeared that we had a much softer quarter than we really did. But there's not lots of seasonality, say, in the surfactants and amines businesses. They're pretty consistent. We have seen some European pressure but not significant in some of that demand. It's a pretty, pretty stable business.
Peter R. Huntsman: Yes, I would just note. I hope that we're not talking too much in these answers here, but I do think it's worth noting that what Kimo said earlier about the difference in demand in our Performance Products, a great deal of that was shifting customer sales volumes into a tolling category, which we typically don't count because these are under long-term contracts. So again, I hope that you got the point that as you look at the sales volumes and the revenues coming out of Performance Products, it continues to be a very strong and very consistent division for us.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Yes, that makes good sense. Switching to a little bit different segment here, on China wind numbers. Insulation has obviously been weak, as you pointed out. But management teams exposed to China wind have expressed some optimism that they'll still hit some of their installation plans in 2012, and I would guess that you guys would be kind of the first to see that -- those end markets actually develop as expected, as they were laid out, I guess, in late 2011. So are you seeing any of those leading indicators on your side? And anything that you -- that could suggest that they might be right?
J. Kimo Esplin: Yes, well, I'm just looking at our year-over-year Asian sort of wind energy demand, and it was down 15%. So we haven't seen strength in wind in Asia. Actually, where we saw strength was in the Americas wind, but, of course, Asia is a larger market for that product. We are optimistic that, that business will come back, historically, not only for our Advanced Materials epoxy businesses but also for our amines, which are used for curing agents in wind, has been a good business for us. But it has been soft for several quarters now.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Right. And you had sort of answered the follow-up there. Has any other pockets, it sounds like Americas, but is it Brazil, in particular, or anything else within the Americas that looks optimistic?
J. Kimo Esplin: Relative to wind?
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Yes, exactly.
Peter R. Huntsman: No, as I look at wind, I would just comment as well that in Europe, we continue to see growth opportunities in wind as well. So I think Asia is -- we did see a falloff there, but as we look at Europe, which, for us, is a larger market than Asia for wind in our Advanced Materials group, all in all, we're seeing growth in the wind area.
Operator: Your next question comes from the line of Jeff Zekauskas with JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: You were kind enough in your commentary earlier to talk about your cost per ton of TiO2 going up $350 a ton. From what base? Is that a second quarter base or that's the year-ago base? I didn't understand.
J. Kimo Esplin: Yes, that is first quarter to second quarter, not just cost but really contribution margin per unit -- excuse me, I'm sorry, second to third, sequential second to third, and it's contribution margin per ton.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: It's contribution margin per ton. So in your slides, your TiO2 prices and on a local currency basis were up 1%. And so is it the case that now you believe that your local currency prices will decrease in the third quarter, and that's part of that contribution margin?
J. Kimo Esplin: Yes.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. In order of magnitude, is this 5%, 10%, 2%, 0 to 5%?
J. Kimo Esplin: Bigger than a breadbasket. Of course, we're still in the quarter, and we'll see how it all comes out. But it's single-digit percentages.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: That's single-digit percentage. Okay, that's great. Your corporate costs have been running much, much lower than they were last year. I think corporate last year in the first half was $113 million, and maybe it was $83 million or so for the first half. Will you continue to see lower corporate costs in the second half or will they level off or be higher? How does that line look? And what's behind the change?
J. Kimo Esplin: Well, there's some movement in that line because of LIFO, and for the quarter, LIFO was a benefit of about $9 million. So you are seeing some movement in that.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. And for the second half, maybe flattish year-over-year or will it go up?
J. Kimo Esplin: I'm terrible at forecasting LIFO. It's not intuitive to me, frankly. But we, in our own internal forecast, typically don't try to even attempt. It has to do with lots of different products and layers, and I wish, frankly, we didn't have it. But it creates a little bit of noise in our own internal view, frankly.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Right. And so in Textile Effects, you said that the losses would increase in the third and fourth quarter, and that was sort of the pattern of last year, that is, you really didn't lose very much in the first half and you lost a lot in the second half. Is that the pattern this year or the gain -- or the losses really should moderate quite a lot because of your restructuring efforts?
Peter R. Huntsman: I think that the losses really should moderate because of the restructuring starting to come in, in the third and fourth quarter, and I would hope, personally, that we are starting to see breakeven sort of economics by the end of the year due largely to our restructuring efforts. When we see the improvement in the market, that's certainly going to be on top of that. But I think that right now, Textile Effects, the improvements we're going to see are going to be more around self-help, and we should start seeing that in the second half of 2012.
J. Kimo Esplin: Jeff, we're not going to see brackets on that line in 2013.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Well, that's good. I've not modeled it with brackets that way. Lastly, in very rough terms in MDI, when you look at your profits in the U.S., in Europe, in China, sort of what are they relative to each other? How much of your MDI profits come from the U.S., how much from China, how much from Europe, in just ballpark terms?
J. Kimo Esplin: Well, when you -- there are different sort of regional pricing structures. Asia tends to be not a contract market, and so you might see a little bit more volatility in prices and margins. Historically, we have had probably our better margins in Europe because we probably sold more of our product there in systems, frankly. So it's not so much a market, it's where we have more differentiated products and customers.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: I meant in absolute terms. Just sort of if you could divide up your MDI products and profits into those 3 regions, do you make 1/2 in the U.S. or 3/4 or...
J. Kimo Esplin: I think we broke out what our revenues are by region. They're not all that different. I mean, we're a little bit more profitable in Europe, but it follows revenue pretty well. So just to remind you, MDI in Europe for 2011 was 39%, the U.S. was 25%, Asia Pacific was 25% and Rest of the World was 11%. It's not largely different, as I said. Sort of differentiated products will move that a bit.
Operator: Your next question comes from the line of Roger Spitz with Bank of America.
Roger N. Spitz - BofA Merrill Lynch, Research Division: In Ad Mat, could you comment on what happened in liquid epoxy resin margins and also epoxy derivative margins sequentially? Looking past the sales mix, would you explain? But just on a like-for-like basis, what was going on with those margins?
Peter R. Huntsman: Well, I think that there's probably a combination of a number of things. On the BLR side, I think that you saw an erosion in pricing that took place on the commodity and on the raw material side. Capacity utilization rates, particularly in Asia, are very, very low right now on the BLR side. And I think that you're seeing that evident not just in Huntsman but in a number of competitors that has reported earnings in like applications and businesses and so forth. I will note longer-term that as we look at the business, as we look at our improvements in market share, as we look at our cost improvement initiatives that we have in that business, our large position on aerospace and so forth, longer-term in Advanced Materials, I think that by the end of this year, you will see year-on-year improvement in that division. But as you look at wind in Asia, as you look at electronics in Asia and as you look at the exported BLR, the base materials coming from Asia, it is putting pressure on a global -- in a global market.
Roger N. Spitz - BofA Merrill Lynch, Research Division: Where do you think industry BLR operating rates were in Q2 versus Q1?
Peter R. Huntsman: I would state that, that's -- I'd say that it's probably -- in Asia, it's probably operating around 70% capacity utilization rates -- excuse me, in Asia, it's probably closer to about 50% capacity utilization rates, and you're probably better than that outside of Asia. And therefore, you're seeing a lot of exports, as I mentioned earlier, coming from Asia. And that's on the BLR side. So again, as you look at the further downstream formulations and your specialty side where Huntsman plays a lot, I believe that we have an opportunity to see an improvement in those areas going forward.
Roger N. Spitz - BofA Merrill Lynch, Research Division: Okay. And Pigments, can you break down sort of your fixed costs versus your total costs if you were to combine, say, COGS or SG&A or however you'd like to discuss that?
J. Kimo Esplin: Well, for what period? Of course, ore prices or variable costs have changed dramatically in the last year.
Peter R. Huntsman: On a quarterly basis.
Roger N. Spitz - BofA Merrill Lynch, Research Division: [indiscernible].
Peter R. Huntsman: Pardon?
Roger N. Spitz - BofA Merrill Lynch, Research Division: This past quarter, Q2.
J. Kimo Esplin: Roger, we're going to need to dig that out. We'll come back to you on it, okay?
Operator: Your next question comes from the line of Gregg Goodnight with UBS.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Say, operating rates for titanium dioxide, what were your operating rates in the second quarter? What are they now? And how do you see them progressing in the rest of the year?
Peter R. Huntsman: I think that we're seeing operating rates today are probably right around 80%. I believe that as you see an end to this destocking that is taking place -- so when we talk about that 350-ton added pressure in the third quarter, I base that on an 80% operating rate. As we see the destocking taking place in the -- that is slowing in the third quarter, I think that you're going to see operating rates move more traditionally into their 90% sort of a rate going forward.
J. Kimo Esplin: Yes, I think that seems right relative to our own numbers. When you think about a year ago, we were operating at capacity, and that's lower than stated capacity. Our effective capacity is probably around 500,000 tons as opposed to sort of 550,000 of nameplate capacity. So think about 500,000. We said that our demand is down sort of 20%, which is kind of that 80% number that Peter's talking about.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Okay. Excellent. The same question I had was MDI pricing. It seems like MDI pricing got some legs in the first quarter, slowed down a bit in the second quarter, but now, with the benzene settling at 460, do you see additional price increases, where those set some level of the second quarter price increases TVA? Can you move on your pricing pretty quickly now that demand seems to be reasonably firm?
Peter R. Huntsman: Well, we are seeing our average selling price up about, let's see, up about 5% in the second quarter in comparison to the first quarter. So I think we made some very good headway in the second quarter. We are pushing for an increase in pricing in the third quarter to help offset with the benzene spikes that we're seeing in the third quarter. Too early to comment on the success of those initiatives. Those are mostly going to be centered in North America. And like I said in my comments, I believe that the high benzene prices that you're seeing are more -- they're regional and it's a regional dislocation of supply. So I believe that, that price will be perhaps cooling a bit here as we get into the third and fourth quarter.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Last question, if I could. Your Chinese MDI plant has the approval to do that. The project keeps slipping. Some of your competitors may beat you to the line in terms of starting up their new capacity. Are you still committed to that plant and do you expect approval anytime in the near future?
Peter R. Huntsman: Yes. At this time, we are committed to that facility. We are frustrated with the pace of approval that is coming from the Chinese. And all that I can say, as it pertains to competitors, I have seen nothing that would lead me to believe that we somehow are any slower, being somehow held up or penalized in comparison to our competition. When I talk about our competition with Chinese approval and Chinese regulators, I will exclude from that the one Chinese local MDI producer. They seem to have things on an expedited path, if you will, through the Chinese government. But I don't think that any other MDI producers that are looking for expanding their capacity in China are getting any preferential treatment from what we're getting today. So I think that we're all getting slowed down.
J. Kimo Esplin: Just before the next caller, let me just go back to Roger's question. So if you think about cost of goods sold, ore represents probably just a little less than 1/2 of our cost of goods sold, and our fixed costs are a little less than 1/4 of that. Now that's a dramatic change, say, in 2010, where ore was probably 25% of our costs and fixed costs were probably closer to 40% of our cost of goods sold. So again, I think in response to Roger's question around ore and fixed costs, it has changed dramatically 2010 to 2012.
Operator: Your next question comes from the line of Ivan Marcuse with KeyBanc.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Most of them have been answered. I just have a couple of quick ones. On raw material costs, if you look at the Polyurethanes and the Performance segments, how would you gauge them on a year-over-year basis in the second quarter through the baskets?
Peter R. Huntsman: As I look at raw material pricing in general, it's -- obviously, benzene is up at nearly a historical high level. As we look at our price, let me just figure out here on -- they -- our prices we see right now in natural gas is up slightly. And as we look at most of our other raw materials, they're pretty flat from where they've been over the last 6 months or so. And I think if anything, there's probably going to be downward pressure as you see crude looks like it's cooling just a little bit.
J. Kimo Esplin: The one exception, Peter, I think you already made a point of it, is that benzene, sort of spike we saw here just recently, and it should be -- we would expect it to fall.
Peter R. Huntsman: Yes, that would be the only -- Our other raw material prices, really, across the board have been fairly flat, if not having a little bit of downward pressure. I think that the falling price that we're seeing in ethylene and propylene in the overall market, again, we're a large buyer of propylene and ethylene. And I think that the longer term the capacity, the new capacity that's coming up particularly in North America around these products is going to benefit Huntsman on a longer-term basis.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Got you. But you would look at the past -- the first half of the year or in the second quarter, that the basket for each of those businesses were probably, in general, all in, up on a year-over-year basis [indiscernible] digits?
Peter R. Huntsman: Of our raw materials?
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Yes.
Peter R. Huntsman: No, I'd say they're down. With the exception of benzene, I think most -- all of our raw material prices, again, that's excluding all ores going to TiO2, but I'd say that they're down on a basket.
J. Kimo Esplin: They would -- I mean, when you think about the first quarter to second quarter, again, they would have followed sort of the trend in crude, which was down about 8%, and natural gas, which was down 18%, sequentially.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Okay. And then the Performance Products, it sounds like margins should continue to expand on a sequential basis. If you put everything else -- if you put everything together, you'll have -- you're not going to have the shutdown, and material costs have come in a little bit and volumes tend to be hanging in there. Is that sort of a fair assumption?
Peter R. Huntsman: Yes, I'd say that as you look at our Performance Products, as we look into the third quarter, demand looks good, raw materials are easing a little bit. We're pushing off our maintenance. The life of our catalysts are a little bit better than expected, and so we're able to push off our maintenance until the first quarter of next year. So yes, I would agree with that.
Operator: Your final question comes from the line of Edlain Rodriguez.
Edlain S. Rodriguez - Lazard Capital Markets LLC, Research Division: Just 1 quick question on TiO2. The trade papers are reporting that prices are going down in the U.S., are you seeing that? Or do you -- I mean, do you expect prices to be down in the U.S. for the third quarter?
J. Kimo Esplin: We have said that a combination of price, a little lower price and higher ore prices will compress margins by approximately $350 a ton. So we do believe that global prices will ease slightly.
Peter R. Huntsman: And again, we won't comment on where that will take place on a regional basis. We will obviously be pushing to have -- we believe that prices ought to be going up, and we will be pushing prices as aggressively as we can on an upward basis. But again, I think when you look at the overall momentum, we can't stand here and say that prices are going up consistently across the board.
Edlain S. Rodriguez - Lazard Capital Markets LLC, Research Division: Okay. And one last one on taxes. Like what's driving the higher tax rate?
J. Kimo Esplin: Well, we have seen a greater percentage of our profitability in the second quarter relative to the first quarter and prior year in the U.S., which is our highest effective tax rate region. And so we are -- we saw, what, 33% adjusted effective tax rate in the second quarter. We would expect to be right around 30% going forward as a long-term plan or medium-term expectation. Our cash tax rate is closer to 25%.
Kurt D. Ogden: All right. Thank you, everyone, for joining us on the call today. If you have additional questions, please feel free to give us a call. Thanks again.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a great day.